Operator: Good morning, ladies and gentlemen, and welcome to the Andrew Peller Limited Q3 Fiscal 2026 Financial Results Conference Call. [Operator Instructions] This call is being recorded on Wednesday, February 11, 2026. I would now like to turn the call over to Mr. Craig Armitage. Please go ahead.
Craig Armitage: Thank you, and good morning, everyone, and thanks for joining us. Before we begin, just a quick reminder that during the call, management may make statements containing forward-looking information. This forward-looking information is based on a number of assumptions and is subject to a number of known and unknown risks and uncertainties that could cause actual results to differ materially from those disclosed or implied. I'd encourage you to refer to the company's Q3 earnings release, the MD&A and other filings for additional information about these assumptions, risks and uncertainties. With that, I'll turn the call over to Paul Dubkowski. Paul?
Paul Dubkowski: Thanks, Craig, and good morning, everyone. I'd like to thank everybody for joining us today. I'm pleased to be joined today by Renee Cauchi, our Chief Financial Officer; and Patrick O'Brien, our President and Chief Commercial Officer. As usual, I'll begin with a review of our operational and strategic highlights from the third quarter, and then Renee will walk us through the financial results. To kick off, Q3 was another strong quarter for the company, highlighted by top line growth of 3.3% and continued expansion in our margins and earnings, which are all at or near all-time highs for the company. These results reflect strong execution across all areas of the business and an ongoing focus on our strategic growth areas. From a sales perspective, our results reflect positive trends across multiple trade channels and regions, including a strong quarter in Western Canada and sustained momentum in Ontario as it continued to evolve with retail modernization. Our Western performance has been driven by market share improvements across almost all markets and channels. Our team has successfully navigated the impact of winter events from a few years ago, the introduction of replacement products and the changing market dynamics to deliver a strong quarter and year-to-date thus far. Our strong performance and results reflect our team's agility and strong commercial execution. In the East, we continue to perform well as Ontario retail modernization progresses, showing sustained momentum in the new and evolving channels. This quarter, we had continued strong performance in big box, grocery and the liquor board channel, supported by the depth and breadth of our portfolio. As expected, this was partially offset by some softness in our owned retail stores and wine kit business as consumers adjust to the new distribution landscape. We were also pleased with the performance of our estate properties in Ontario and in BC. While Q3 is not our busiest quarter seasonally, consistent with Q1 and Q2, we saw an increase in traffic, conversion and overall performance at our estates. This reflects continued consumer interest in local destinations and in the world-class experiences offered at our estates. During the quarter, we also delivered strong results in our Wine Club business as we're able to attract new members, improve retention and increase average spend. This is a result of new and innovative club offers and our ability to take advantage of the increased traffic at our estates. In addition, we continue to focus on key growth segments that will support our long-term strategy. This includes the Sparkling and Better for You space, two growth segments within the broader wine category. In Sparkling, we continue to make investments in our operational and brand marketing capabilities with a focus on being a market leader across the consumer sparkling landscape. Our Trius traditional method, Trius Cuve Close, Peller Secco and Peller Radiance 9% are just a few of our current offerings. In this growing space, we are excited to [Audio Gap] for further products and innovation in the year ahead. Better-for-You space also remains a strategic area for our business, one of our fastest-growing brands on a slot, continues to resonate strongly with consumers seeking a high-quality, 0 sugar option across multiple varietals, styles and formats. And this quarter marked one of the most exciting milestones of our innovation road map, the national launch of LayLow. After months of collaboration across the business, we are excited to bring LayLow to market in two styles initially with Pinot Grigio and Rose with more varietals and formats to come. These new products offer full flavor with fewer calories, less alcohol and less sugar. The brand was created both for a new generation and changing consumer who is seeking balance without compromise and it represents exactly the kind of thoughtful consumer-led innovation that defines our strategy. LayLow launched two weeks ago and will be available in all major markets and retailers over the coming months. Today, you can already find it in our wine shops, in the LCBO and rolling out across the West. We are truly excited to bring this innovation to consumers all across Canada. As we look forward, we have more innovation to come this year, including a brand refresh for Peller Estates, which will strengthen one of the most important pillars of our portfolio and support continued consumer engagement. In addition to our top line performance and progress on our strategic initiatives, we reported continued expansion in our margins and earnings, healthy cash flow and reduced leverage. Our quarter and year-to-date results put us on track to deliver a strong fiscal 2026 and ongoing growth in fiscal 2027. With that, I'm going to pass it over to Renee, who will go a little bit deeper on the results.
Renee Cauchi: Thanks, Paul, and good morning, everyone. As Paul mentioned, we delivered another solid quarter, highlighted by growth in sales, margins and earnings. Third quarter sales were up 3.3% year-over-year, led by strong performance in Western Canada, driven by the success of our BC replacement program. The growth also reflects the strong Wine Club sales, as Paul outlined earlier. In the East, we continue to perform well overall as the Ontario market continues to evolve and these factors are offsetting some expected softness in our owned retail store network and Wine Club business. On a year-to-date basis, revenue was consistent with prior year. And when we normalize for the onetime impact of the LCBO strike in the second quarter of fiscal '25, revenue growth was between 1.5% and 2%. Our gross margin in the third quarter was $45.5 million or 41.8% as a percentage of revenue, up from 40.2% in the same period last year. And on a year-to-date basis, our margin improved to 43.3% from 40.4%. Margin improvements were driven by the success of our cost savings program, which materially lowered input costs for glass bottles and inbound freight. Margin also improved due to the Ontario Grape Support Program, which was not in effect during the comparable periods in fiscal '25. Selling and admin expenses were $25.8 million for the quarter, up 8% from prior year. This reflects an increase in investments for advertising and promotion, both for innovation and to support expanded distribution in Ontario as the market continues to evolve. EBITDA increased by 6% to $19.7 million in the quarter, up from $18.5 million in the prior year, reflecting our top line growth and improved margins. For the year-to-date period, we delivered EBITDA of $57.1 million, an increase of close to 16%. As Paul mentioned, we continue to reduce debt levels, which has materially driven down interest expense. Q3 interest expense decreased by 26% compared to prior year. Our net debt position was roughly $164 million at the end of the quarter, down from $182 million at fiscal year-end and our debt-to-EBITDA ratio was about 2.3x on a rolling 12-month basis. In terms of other assets, inventory was $156 million at quarter end, a decrease from $170 million at the end of fiscal '25 due to our disciplined approach to inventory management. As expected, inventory was up from our Q2 levels consistent with historical patterns as we close out the harvest season. In short, our strong operating results and balance sheet position us well to execute on our growth plans. Thanks, everyone, and I'll pass it back to Paul for his closing remarks.
Paul Dubkowski: Thank you, Renee. Yes, it's definitely been a strong fiscal 2026 for the company. Excited to see the improvement in revenue margins and EBITDA, which as I mentioned before, are at or near all-time highs for the company. And I would like to extend my thanks to all of our Andrew Peller teammates for their tremendous contributions to our joint success. As we finish off the year and turn our attention to fiscal 2027, we do so with confidence and momentum. The market continues to evolve and so do consumer expectations, but our ability to adapt quickly and stay ahead of these shifts remains one of our greatest strengths. We're backed by a strong financial position and energized team, and we're ready to pursue the right opportunities, whether through innovation, strategic investment or acquisition, to accelerate our growth and advance our ambition of becoming the fastest-growing wine company in English Canada, while creating long-term value for our shareholders and all stakeholders. With that, I'll now turn it back to the operator and open the line for any questions.
Operator: [Operator Instructions] Your first question comes from Nick Corcoran.
Nick Corcoran: You had strong revenue growth in the quarter. Can you maybe talk about how much of that came from potentially new products and gaining market share?
Paul Dubkowski: Yes, I can lead off, and then certainly, I can have Patrick jump in and provide any additional color. I mean I think we're really pleased with the over 3% growth in the quarter, as you mentioned. Our revenue is built on kind of our core portfolio performance and the innovation we're bringing to market. It really is a combination of both. We certainly saw strength across our commercial business in the East and the West, both at liquor board, in grocery, in big box. And as we mentioned, we saw some really good momentum at the estates and in our Wine Club business as well. So just good execution by the team, strategic investment in the growth areas and looking to continue that momentum into Q4. I'm not sure, Patrick, if you have any other color?
Patrick O'Brien: No. That's good, Paul.
Nick Corcoran: And then you mentioned that margins are at or near all-time highs. How do you think about the sustainability of that and being able to maintain the margins where they are now?
Paul Dubkowski: Yes. No, definitely. A lot of good work. Really excited about margins being up over -- in the quarter, up over 41%, but on average, trending to over 43% based on the year-to-date and the outlook in Q4. A lot of that margin improvement was built on the hard work around our cost savings program. and being really strategic in terms of our investment and focus on new products we're bringing to market. We will be continually focusing on opportunities to drive margin improvement. And while we've largely delivered on our $25 million cost improvement plan, we have additional initiatives moving forward. So we do expect margins to increase as we head into F '27, but they will be increasing at a slower rate as we've landed the bulk of that program already.
Nick Corcoran: Fair. And then there's rumblings in the news that USMCA may not be renewed. How do you think about that as a potential risk for the business? And anything that you've done to mitigate that potential risk?
Paul Dubkowski: Yes. So we've been pretty forward thinking on all of this throughout. I would say that a lot of the political noise and tension that's existed, we've navigated with minimal impact to our business. We source products from and components from around the world, and we have the ability to pivot that and be a bit forward thinking and bringing more of that sourcing into Canada. We do not sell a substantial amount of product into the U.S. or internationally. So we're not exposed significantly in that area. So it's been something we've navigated and I don't think we're concerned moving forward at this time, but we'll continue to monitor closely.
Nick Corcoran: And then in terms of M&A, how is the pipeline looking?
Paul Dubkowski: I mean we've always said that M&A is a meaningful part of our historical growth plan. Pre, kind of 2020, 50% organic, 50% through acquisition. It is part of our strategic plan. We have an active process ongoing, but I'm not going to put time lines on it right now. We really are focused on looking at assets and brands that would be a meaningful acquisition for the company and fit well within our existing portfolio.
Nick Corcoran: Fair. And maybe one last question for me. How are you thinking about asset sales going forward?
Paul Dubkowski: Yes, it's -- we talked a lot about the value unlock there. Over the 60-plus years of the company's history, we've built up a meaningful and valuable asset base. And what I'd say is we've had meaningful discussions over the last several months on how we unlock that value. And that relates to, obviously, Port Moody, which we've talked about in the past and to our substantial vineyard assets, remains a strategic priority for myself and Renee and for our Board of Directors. And nothing to report at this time, but when we have something meaningful, we'll definitely report publicly.
Operator: And your next question comes from [Eric Hugh] from Canaccord Genuity.
Unknown Analyst: This is Eric in for Luke Hannan. My first question, maybe just starting off with the Better-for-You and Sparkling new products. You probably have made a bunch of investments. And then I was wondering, could you talk about the timing impact of those R&Ds and then marketing and promotional as they get rolled out throughout the country?
Paul Dubkowski: Sure. So I'll talk a bit about the investment, and then I'll pass it to Patrick to talk on the commercial side of it. From an investment standpoint, I would say that the R&D and the development and the planning for those products falls within our normal cycle. We have investment dollars set aside historically every year to invest in growth areas for our business. So that has been phased in a way that it naturally flows within our results that we're reporting. So you shouldn't see any lumpiness from that in any way. And then Patrick, I'll pass it to you to talk about kind of the path forward on some of that innovation.
Patrick O'Brien: Yes, awesome. Thanks, Paul. Good morning, everyone. Yes, I'll just add a little bit of color on, I think the part of your question, you referred to around kind of Better for You and our go-forward plan. So again, I think really importantly, we're seeing the Better-for-You Wine segment growing at about 60% versus last year from a category perspective across English Canada. And really, that's doubled in size in 2024. Paul touched on our new innovation LayLow. So again, really substantial bet for the organization. We're currently rolling that out, as Paul touched on, in Ontario, our TWS stores and the LCBO with some of our grocery partners to follow next month. And then across BC and Alberta in the coming months and in the Atlantic region to follow in, in quarter 1. So again, I think a really exciting time for the organization. Again, we see it as an area of the wine category that is certainly growing at double digits. So it's a big focus for us. And as I touched on, as we move forward, we'll be rolling it out across the country.
Unknown Analyst: Great. And then my next question is just the overall retail environment in Ontario. Has there been any, I guess, shifts in customer consumption preferences that you have seen or channel shifts, especially going into this quarter, we have been through a [indiscernible] winter storm? So I was wondering, have you seen any changes in consumer behavior?
Paul Dubkowski: Patrick, I'll pass that over to you to start.
Patrick O'Brien: Yes, perfect. So I guess the domestic wine industry in Canada, it continues to perform strongly, supported by growing consumer affinity for locally produced wines and the momentum behind the Made in Canada movement. With U.S. wines off shelf in some provinces, many consumers are trading into Canadian VQA and other domestic offerings. At the same time, leading global wine regions such as Italy, France, Australia, New Zealand are seeing renewed momentum. As we move forward, we expect Canadian products produce wines to continue building steady momentum into F '27.
Paul Dubkowski: And just to jump in on the back end of that. I think the other thing is, as that consumer shifts, whether it's preference or weather-related, seasonality, the advantage we have is that we can meet the consumer wherever they want to shop with our size and scale, whether that's in a restaurant, out in the state, at a grocery store, in the liquor board, whether that's a value product or a super premium product, we can meet the consumer kind of where they're at. So in addition to what Patrick said, that is one of our strategic advantages.
Unknown Analyst: Great. Sounds good. And then my final question, this is kind of out of pocket, so I apologize if like you haven't prepared for this, but I was wondering, have you had any expectations for this summer with the World Cup coming into North America? And then I would assume that people will be celebrating quite a lot, just wanted to get your color on that.
Paul Dubkowski: Yes. I mean that's a great question, and I can start and then Patrick can layer on. I mean I think we as a region, North America, are incredibly excited about the World Cup. In Canada, we're excited, certainly in the host cities we're excited, and we are looking at meaningful opportunities to be in and around the World Cup with our products. But I think you captured it more broadly. Any events that bring people together to celebrate, to be together, to make memories and moments is an opportunity for us to put our products on the table and to be alongside them. So I think we're going to see momentum broadly economically, and I think we're going to see the impact of that in our industry and with our products as well. So we're excited for it, 100%.
Operator: And there are no further questions at this time, I will now turn the call back over to Mr. Paul Dubkowski. Please go ahead.
Paul Dubkowski: Great. Thank you. Well, thanks again, everybody, for joining us today. Really looking forward to connecting again when we release our Q4 and full year results in June of this year. Have a great day, everyone. Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you very much for your participation, and you may now disconnect.